Operator: Good afternoon, ladies and gentlemen. Thank you for joining Dropbox's Third Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode. After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] As a reminder, this conference call is being recorded and will be available for replay from the Investor Relations section of Dropbox's website following this call. I will now turn it over to Karan Kapoor, Head of Investor Relations for Dropbox. Mr. Kapoor, please go ahead.
Karan Kapoor: Thank you. Good afternoon, and welcome to Dropbox's Third Quarter 2022 Earnings Call. Before we get started, I'd like to remind you that our remarks today will include forward-looking statements such as our financial guidance and expectations, including our long-term objectives and forecasts for our fourth quarter and fiscal year 2022 and our expectations regarding our revenue growth, profitability, operating margin, free cash flow as well as our expectations regarding our business, assets, products, strategies, technology, employees, users, demand and markets. These statements are subject to risks and uncertainties that could cause actual results to differ materially. They are also based on assumptions as of today, and we undertake no obligation to update them as a result of new information or future events. Factors and risks that could cause our actual results to differ materially from these forward-looking statements are set forth in today's earnings release and in our quarterly report on Form 10-Q filed with the SEC. We'll also discuss non-GAAP financial measures, which are not prepared in accordance with generally accepted accounting principles. A reconciliation of GAAP and non-GAAP results is provided in our earnings release and on our website at investors.dropbox.com. I would now like to turn the call over to Dropbox's Co-Founder and Chief Executive Officer, Drew Houston. Drew?
Drew Houston: Thanks, Karan, and good afternoon, everyone. Welcome to our Q3 2022 earnings call. Joining me today is Tim Regan, our Chief Financial Officer. I'll first share some business and product highlights from the quarter, and then Tim will discuss our Q3 financial results and provide guidance for the remainder of the year. We delivered another strong quarter amidst an increasingly challenging macroeconomic backdrop. We saw strength from our teams plans driven by pricing and packaging changes, which we rolled out in June. And the strength was partially offset by some continued moderation in our document workflow businesses which I touched on last quarter, along with some recent softness with our Plus individual SKU, particularly in mobile. Like many of our peers, we're keeping a close eye on the evolving economic climate and the potential impacts to our own business, which Tim will speak to in a moment. During these uncertain times, it's especially critical, we pay close attention to how we continue to best serve our customers by remaining focused on simplifying users workflows and keeping security top of mind or driving higher value to business users when they need to be more strategic for their spend. And we're doing this, while thing disciplined ourselves as demonstrated once again by our stronger-than-expected profitability, which Tim will also discuss. And as we approach 2023, we remain committed to the strategy we outlined earlier this year. First, we continue to evolve our core FSS offering by improving the user experience to set a stronger foundation for future growth. Second, we're innovating in workflows beyond storage, particularly in documents and videos to better serve the growing needs for freelancers and small business teams. And finally, we're focused on maintaining operational excellence as we continue to balance growth and profitability. I'll start with how we continue to evolve our core business, particularly around driving retention. Consistent with the past several quarters, we saw our churn rate decrease year-over-year. And while we did observe some incremental churn in the quarter among some individual users on our Plus plans, particularly in mobile, we saw improved retention among business users even as we updated our pricing and packaging for teams. A key part of improving retention has been to enhance the user experience by reducing friction to important actions such as uploading and sharing. These enhancements lead to more engaged users who ultimately retain at higher rates. I'm also excited about how we're building machine learning into the core Dropbox user experience. In Q3, we enhanced our browse functionality or our folder navigation page on the web by rolling out content suggestions. Content suggestions leverage ML to surface files that users need to access most, resulting in an increase in file actions per user. We also saw increased engagement with new organizational features like machine learning-assisted naming conventions, where our machine learning models identify patterns and suggest file names for users who have workflows around saving or renaming lots of files. Among those who have adopted this feature, we've seen a significant increase in logins and file actions in Dropbox. And as we highlighted last quarter, we added value to our standard and advanced teams plans and updated our pricing and packaging. I'm pleased to see the prioritization of features around security and data protection resonating with our customers. For example, we launched a new dashboard that makes it easier for admins to view externally shared links by the team in one centralized space and revoke access when needed to keep their proprietary content secure. This provides customers with metrics, which they can use to evaluate their firm security needs. We've received very positive feedback on these reporting capabilities, including from larger customers who handle sensitive financial and health information. And in a time where consolidating spend is top of mind for customers, we're focused on selling complete solutions beyond storage to include important security capabilities like content controls, data governance add-ons and external drive backup. By addressing these needs, our managed sales organization had another strong renewal quarter. This focus on security and data protection has also driven incremental adoption of backup and passwords by our team's users, which has helped improve retention as users who do multiple features get more utility from Dropbox. Moving to our second objective of driving adoption of workflows beyond FSS, specifically around documents in video. I'll start with DocSend, which continues to be our fastest-growing business. Last quarter, I mentioned that we started seeing pockets of softness in DocSend's core market, which is venture capital fundraising. We saw incremental moderation with some customers choosing to be more price sensitive given the slower market backdrop, and we're investing in the DocSend experience to cater to additional professional service verticals while also driving awareness across the core Dropbox user base. We started experimenting with introducing DocSend's powered analytics as a premium experience to Dropbox individual users. And we're learning important insights about overlap with core FSS users who share files and want to view analytics about their file sharing, such as viewership time and completion. And in Q3, we built functionality for DocSend customers who want to send video content within DocSend, setting the stage for last week's launch of DocSend advanced video analytics, which was a top requested feature. Now users can easily share videos and see rich analytics like playback completion rate, time watched and insights into individual user experiences. And with video analytics in high demand, I'm excited for the potential in DocSend to expand its use cases and its target audience. With HelloSign, as you know, we've been working towards driving tighter integration with Dropbox to further streamline agreement workflows. And I'm excited to announce that as of last week, HelloSign is now Dropbox Sign. This rebranding is an important step in our strategy towards developing a seamless content platform for our customers while leveraging Dropbox's brand awareness. Additionally, we launched our signature hub within the Dropbox platform, providing our customers the ability to manage their agreement workflows without ever leaving Dropbox. While we're still seeing growth moderate for our Sign business during this challenging period for the broader eSignature market, it's important that we differentiate Dropbox Sign from traditional eSign solutions. We're leveraging value-add offerings like our API, we saw an uptick in developer activity in Q3 and Dropbox Forms, a no-code builder that makes complex PDFs mobile-friendly. For Dropbox Forms, customers like HR teams and gig economy platforms can quickly streamline the onboarding process of their workforces. We're including Dropbox Forms with our higher-tiered Sign plans, adding differentiated value for our customers, and I'm excited to build brand awareness for Dropbox Sign and its suite of products heading to 2023. And lastly, moving to video workflows. I'm excited to announce that last week, we released Dropbox Capture to all users. And as a reminder, Capture is an all-in-one digital communications tool that we developed in-house during the pandemic and launched in beta last year. And since then, we've expanded the number of beta users that rely on Capture to communicate with their teams, whether they're presenting work, providing feedback or sharing how-to and training videos. Capture is now available across all Dropbox plans with premium features included in our Professional and Teams plans like editing for videos of any length and the ability to record in 4K up to the plan's storage limit. With Basic, Plus and Family plans, users get up to two hours of recording time at 1080p and editing for video under five minutes. I'm excited to see Capture continuous viral growth as more users share of videos and screenshots with their network, saving hours from video meetings and long e-mails. We see Capture as both a retention driver among paid users as we add differentiated value to existing plans as well as the customer acquisition channel as new recipients of Capture will recognize the time saving, simplicity and utility for their own workflows. And as customers shift to working more and more in the browser and in cloud-native tools, we're evolving the Dropbox experience from syncing your files to organizing all of your cloud content across our platforms. Our acquisition of Command E plays an important role in this road map, and I look forward to sharing more about the work we're doing in the coming quarters. Before I wrap up, I would also like to highlight that last week we published our inaugural ESG report. It outlines our progress towards achieving our sustainability goals, investing in social impact initiatives and being a force for good, both inside our company and in our broader communities. This work has been going on for years, and we're proud of what we've accomplished so far. And we're committed to sharing our progress as we build on our efforts in the years to come. In closing, it was a solid quarter amidst the period of growing uncertainty. While we know we're not immune to economic challenges, we believe we're positioning ourselves well to weather a more challenging macro backdrop with our healthy financial profile and balance sheet. We remain focused on our customers, are staying disciplined operationally, and we're innovating around workflows that we believe will only grow in importance as customers increasingly focus on streamlining their existing solutions. And with that, I'll hand it over to Tim to walk through our financial results.
Tim Regan: Thank you, Drew. Before turning to our quarterly results, I'd like to start with a reminder of our financial strategy. We are continuing to pursue sustained growth and profitability in a disciplined and thoughtful manner while remaining committed to our long-term objectives. We also remain focused on allocating capital to growth initiatives that we believe will drive future revenue, both organically and through acquisitions while also returning a significant portion of our free cash flow to shareholders in the form of share repurchases. As Drew highlighted, we are keeping a close eye on the macro environment, and in particular, foreign exchange rates, where we continue to see intensifying headwinds from the strengthening dollar. I will discuss this in more detail shortly. Let's start with our third quarter performance, and I'll provide updated guidance for the remainder of the year. Beginning with our third quarter results. Total revenue for the quarter increased 7.4% year-over-year to $591 million, beating our guidance range of $584 million to $587 million. Foreign exchange rates provided an approximate $13 million headwind to growth, in line with our previous expectations. On a constant currency basis, revenue grew 9.7% year-over-year. Total ARR for the quarter grew 9.6% year-over-year for a total of $2.431 billion. On a constant currency basis, ARR grew by $98 million sequentially and 10.2% year-over-year. This step-up is sequential ARR and acceleration in our year-over-year growth on a constant currency basis was largely driven by pricing and packaging changes with our Teams plans that we announced in June, which Drew touched on earlier. We exited the quarter with 17.55 million paying users and added approximately 180,000 net new paying users in the third quarter. Average revenue per paying user was $134.31 in Q3, up nearly $1 from Q2, primarily driven by increased pricing on our Teams plans, partially offset by FX headwinds and the adoption of our Family plan, which, as a reminder, is comprised of six seats and therefore, carries a lower ARPU profile. Before we continue with further discussion of our P&L, I would like to note that unless otherwise indicated, all income statement figures mentioned are non-GAAP, and excludes stock-based compensation, amortization of purchased intangibles, certain acquisition-related expenses, impairments of our real estate assets and net gains on equity investments. Our non-GAAP net income also includes the income tax effect of the aforementioned adjustments. I'll now provide a brief update on our real estate strategy, where we have been taking steps to de-cost our real estate portfolio as a result of our transition to a virtual-first model. While the real estate market is evolving, particularly in the San Francisco Bay Area, at this time, we continue to estimate that our total impairment charges will be up to $450 million. In Q3, we recorded an additional $4 million in impairment charges, primarily related to an increase in our common area fees for our San Francisco headquarters where we have space available for sublease. This brings our cumulative impairment to $442 million. With that, let's continue with the P&L. Gross margin was 83% for the quarter, representing an increase of nearly two percentage points on a year-over-year basis. The improvement in our gross margin was primarily driven by ongoing efficiencies in our data center infrastructure as well as greater optimization around our customer support needs. Third quarter R&D expense was $166 million or 28% of revenue, which increased compared to 24% of revenue in the third quarter of 2021. The increase in R&D was primarily driven by an increase in hiring to backfill the elevated levels of attrition we saw last year and as we continue to invest in growth and other key initiatives. Going forward, we do not expect to see this pace of growth in R&D as a percentage of revenue continue as we expect that most of our critical openings will be filled by the end of the year. Third quarter sales and marketing expense was $95 million or 16% of revenue, which decreased compared to 19% of revenue in the third quarter of 2021 as a majority of our brand campaign spend last year was incurred in Q3. Third quarter G&A expense was $43 million or 7% of revenue, which decreased compared to 8% of revenue in the third quarter of 2021. In total, we earned an operating profit of $187 million in the third quarter, representing an operating margin of 32% and up roughly 2 points compared to the third quarter of 2021. Our Q3 operating margin exceeded guidance by about 3 points, driven by stronger-than-expected gross margin, efficiencies from hiring in lower-cost locations, lower-than-expected T&E costs and lower project spend. Net income for the third quarter was $153 million, which is a 4% increase versus the third quarter of 2021. Diluted EPS was $0.43 per share based on 360 million diluted weighted average shares outstanding, up from $0.37 per share based on 398 million diluted weighted average shares outstanding for the third quarter of 2021. Consistent with the past two quarters, our year-over-year income tax expense increased significantly to the impact of new R&D tax legislation and given that we have now fully utilized our NOLs for non-GAAP tax purposes. Moving on to our cash balance and cash flow. We ended the quarter with cash and short-term investments of $1.5 billion. Cash flow from operations was $251 million in the third quarter, and capital expenditures were $6 million during the quarter. This resulted in quarterly free cash flow of $245 million compared to $221 million in Q3 of 2021. In the third quarter, we added $18 million to our finance leases for data center equipment. Let's turn to our share repurchase activity. In Q3, we continued executing against a $1.2 billion authorization that was approved earlier this year by repurchasing 7.7 million shares, spending approximately $171 million. As of the end of the third quarter, approximately $922 million remains under the current authorization. With that, let's turn to guidance for Q4 and for the full year. I will also provide some context on the thinking behind this guidance. For the fourth quarter of 2022, we expect revenue to be in the range of $592 million to $595 million. We are assuming a currency headwind of approximately $19 million in the fourth quarter, which translates to more than a 300 basis point headwind to growth and a $2 million greater than what was implied in our previous full year guidance. We expect non-GAAP operating margin to be approximately 29% to 29.5%. The expected sequential decline from Q3 operating margin is primarily driven by planned infrastructure investments to meet our future capacity needs, an increase in expected project spend and finalizing our planned hiring for the year. Finally, we expect diluted weighted average shares outstanding to be in the range of $354 million to 359 million shares based on our trailing 30-day average share price. For the full year 2022, we are raising our reported revenue guidance to $2.318 billion to $2.321 billion, up from our previous guidance range of $2.308 billion to $2.318 billion. On a constant currency revenue basis, we are raising by $8.5 million at the midpoint to $2.354 billion to $2.357 billion, up from the prior range of $2.342 billion to $2.352 billion. We now estimate a full year 2022 currency headwind of approximately $36 million, up from our prior forecast of $34 million. We are raising our gross margin guidance to approximately 82%, up from our prior forecast of approximately 81.5% due to some of the infrastructure efficiencies we've seen this year. We are also raising our operating margin guidance to be in the range of 30.5% to 31%, up from our prior guidance of approximately 30%. This operating margin guidance range is inclusive of an approximately 1 point headwind from FX. We are raising the midpoint of our free cash flow guidance by $5 million to now be in the range of $770 million to $790 million, compared to our prior forecast of $760 million to $790 million. This includes $17 million in cash outflows for the 2022 installments of acquisition-related deal consideration holdbacks. And as a reminder, our free cash flow guidance is also inclusive of an estimated $25 million headwind resulting from the impact of R&D tax legislation newly affected in 2022. We continue to expect capital expenditures for 2022 to be in the range of $25 million to $35 million. We continue to expect additions to our finance lease lines to be approximately 5% of revenue in 2022. This implies a significant step up in Q4 leases due to a planned build-out of new data center, expected to go live in early 2023. Finally, we expect 2022 diluted shares outstanding to be in the range of 363 million to 368 million shares, down from our previous guidance range of 364 million to 369 million shares. This reduction in our share count reflects our commitment to and anticipated impact of our share repurchase program. To share some additional context on this guidance. For 2022, we are raising the high end of our constant currency revenue guidance range, up by $5 million. As we mentioned earlier, we are pleased with the early results of our pricing and packaging changes to our Teams plans, which is being partially offset by continued moderation in our document workload businesses, DocSend and Dropbox Sign, and some recent softness in our Plus SKU, particularly on mobile. As a reminder, in Q3, we saw benefits from pricing and packaging changes to our standard and advanced teams plans, which largely went into effect in July. Given the introduction of additional value to these plans, we raised their respective prices by 20%. The subset of our user base that is ultimately subject to the price increase comprises roughly 1/3 of our total ARR. The majority of these customers will see the pricing increase this year with the remainder lending in 2023 as well as 2024 for some of our managed accounts. While we do not guide to ARR, it is important to keep in mind that we do not expect to see a similar step-up in absolute ARR in Q4 as Q3 includes an immediate contribution from our monthly customers, subject to the pricing change. And remember, given our ratable recognition model, the revenue impact will flow accordingly to 2022 and beyond. As related to operating margin, while we are experiencing incremental FX headwinds, T&E and office reopening expenses as pandemic restrictions soften, we are raising our 2022 operating margin guidance as we continue to have success with our ability to hire top talent outside of traditional high-cost tech hubs such as San Francisco, New York and Seattle as well as due to infrastructure efficiencies, driving higher gross margin. As related to full year free cash flow, we are raising the midpoint of our 2022 free cash flow guidance. As a reminder, compared to when we introduced our free cash flow guidance at the beginning of the year, the significant strengthening of the U.S. dollar has resulted in more than a $30 million headwind to our initial free cash flow guidance. I'd also note that FX has a more immediate impact on billings and enhance free cash flow as compared to revenue, given our ratable revenue recognition model. Thus, a larger cash impact will be absorbed this year, offsetting the benefits of our increased operating margins, which brings me to our long-term financial targets of delivering operating margins of 30% to 32% and $1 billion of annual free cash flow by 2024. As you can see from our Q4 guidance, we are seeing FX headwinds intensify as we exit the year based on how our software subscription business recognizes revenue over a period of time from the time of booking. Assuming these current FX rates remain constant, we will experience increased currency headwinds to revenue and free cash flow in 2023. While we believe we are managing the business in a way that will enable us to weather a more challenging backdrop, we recognize there is a lot of uncertainty. And so while we believe it is too early to make any changes to our long-term financial targets at this time, we are keeping a close eye on the macro environment and how best to respond as events unfold. In conclusion, we continue to execute well against our initiatives, demonstrating stability and solid execution during a time of increasing uncertainty. I'm especially proud of our team for remaining focused on our customers while running the business efficiently to drive margin outperformance and healthy free cash flow generation, which we continue to allocate in a way that drives long-term value to the business and our shareholders. With that, I'll now turn it over to the operator for Q&A.
Operator: [Operator Instructions] Our first question comes from Rishi Jaluria with RBC Capital Markets. You may proceed.
Rishi Jaluria: Nice to see continued strength in spite of the macro headwind. I've got one question for Drew, one for Tim. Drew, I wanted to start -- in your prepared remarks, you talked about how you're seeing continued strength in DocSend, which I'm pleasantly surprised to hear in spite of kind of a softer VC funding environment. Can you talk a little bit about what's driving that in DocSend? And you talked about kind of wanting to explore or drive newer use cases for DocSend. What would some of those look like?
Drew Houston: Sure. Thanks for the question. So DocSend continues to be one of our fastest-growing businesses. I mean, we have -- just to be clear, we have seen headwinds given DocSend's exposure to the fundraising market, which -- and so fundraising activity has come down. So just to be clear, we have seen some headwinds there. That said, there are a lot of different verticals that revolve around sending content and needing to have analytics around it and the kind of things that DocSend provides. So we're seeing a lot of opportunity in new verticals like professional services and sales and customer success, account management. So in short, we're branching out into other customer segments and adding new kinds of value. And so for example, on things we added last week in our launches with advanced video analytics. So we see continued opportunity for DocSend, but there will be a -- we believe there will likely be a mix shift to other customer segments as the funding activity moderates.
Rishi Jaluria: Got it. That's really helpful. And then, Tim, if we -- wanted to maybe get a sense, look, if we look at the numbers, right, we saw overall revenue growth accelerated about slightly under 1% constant currency, ARR accelerate by about 2 points constant currency. Now you did mention some of that was obviously the uplift from the pricing and packaging changes. To the extent you can, can you help us understand what was the actual impact in the quarter from those? And without thinking about guidance for next year, just when does it kind of flow through from this and so we're not over extrapolating from this quarter?
Tim Regan: Sure. So we don't break out the pricing contribution separately. I'll give you a bunch of the pieces here. So we did raise prices by 20% on our Standard and Advanced Team plans. And so for new customers, they began purchasing the higher-price plans starting in June. Existing customers began renewing at the higher price point starting in July. And the subset of our user base that is ultimately subject to the price increase comprises about 1/3 of our total ARR and the majority of those customers will see the pricing increase this year with the remainder landing in '23 as well as 2024 for some of our managed accounts. And then just given how we recognize revenue, the revenue will these billing cycles flowing to 2022 and beyond. And of course, within this quarter, a large portion of that step-up did come from our monthly customers as they became subject to the change.
Operator: Our next question comes from Brent Thill with Jefferies. You may proceed.
Luv Sodha: This is Luv Sodha on for Brent Thill. Congrats on a solid trend here. Just wanted to ask maybe first one for Drew. One of the comments you made in the prepared remarks was around churn rates for Teams plans being down despite the price increase. I guess could you unpack that a little bit just because given the environment we are in today, some of the other companies are facing higher churn within the SMB side. So just unpack the customer base and what drove that strength there?
Drew Houston: Sure. So I'd say a couple of parts. So one is churn or customer retention has been improving overall in the core business, and that's a trend we've been seeing continue. I'd say on the price increase or the new plans, I'd say churn is ahead of our expectations. And so we -- basically, it's gone -- or the packaging changes have gone better than we anticipated. And part of what's driving this is -- or part of why we believe it's going better than expected is we see the packaging and pricing changes as part of a flywheel where first, we create new customer value. And so in this case, it wasn't just a price increase. We also introduced a lot of security features for Teams that had been in response to customer demand. So for example, ransomware attacks are way up like 300% up in the last year, something between 50% and 75% of the victims are SMBs, don't have dedicated IT security resources. And so we've been building in that direction because we see that it will be a growth area. And you need security in any kind of macroeconomic environment. So we see that it's a positive -- overall, we see -- when we look at how the macro environment is affecting us, we've been pleased by the stability so far. That said, we don't want to -- we know it's an evolving situation, so we're going to be cautious and monitor all these signals really closely for changes.
Luv Sodha: Got it. And then one for Tim. I know you're raising the guide for this year, obviously. But how should we think of the level of conservatism embedded into this guide? Is it similar to what you have embedded previously? Are you embedding more conservatism given the environment we're in? Just any color there, Tim.
Tim Regan: Sure. I'll just say that there are no material changes from our historical guidance approach. We continue to guide to what we have a high degree of visibility into and we factor in growth initiatives when we have sufficient signal on their performance. And as we see additional data over the course of the year, as we are seeing with these changing macroeconomic conditions, we do revise and incorporate those trends into our guidance as needed.
Operator: Our next question comes from Mark Murphy with JPMorgan. You may proceed.
Unidentified Analyst: This is [indiscernible] on for Mark Murphy. And I'll reiterate the congrats on the quarter. On the softness you mentioned in some of the business segments that saw a bit of elevated demand during the pandemic, would you say that some of the pressures here were consistent with the prior quarter? Or did they incrementally worsen? And any sense of when you expect to see a bit of a plateau in some of the softness?
Tim Regan: Sure. So we are seeing some incremental macro headwinds in our Dropbox Sign business. As we do lap COVID tailwind and then we are also seeing DocSend slow down a bit, just given that a fair amount of that business of macro-related softness around some of our Plus users, particularly on mobile. So, all of those components have been factored into our guidance. I'm not going to give forward-looking guidance beyond Q4 at this point. And certainly, as I mentioned to Luv, we factored in these baseline trends -- these updated trends into our guidance for the rest of the year.
Unidentified Analyst: Got it. That's very helpful. And then as a quick follow-up on the topic of the recent 20% price increase. Is there any change in the level of elasticity among customers relative to some of the prior price increases that you've done, particularly given the inflationary environment?
Drew Houston: I don't think we break out specific stats on that. I can -- what I can say is that we've certainly taken to account, as you'd imagine, when we project the impact of price increases, how those have gone in prior cycles. And I can say that Teams price increase has gone better than expected.
Operator: Our next question comes from Steve Enders with Citi. You may proceed.
Steve Enders: I just want to ask you, I guess, on the pricing and packaging dynamics. I mean it seems like there's been really good success with the Teams increase in the past quarter. I guess how are you thinking about kind of more broadly raising prices on some other plans or thinking about shifting some of the packaging to potentially drive an increase of pricing in that way?
Drew Houston: Well, I think it starts with our philosophy, which has been pretty consistent. And as I mentioned before, we start by creating value, so adding new features in response to customer demand. So the Teams' price increase, for example, was paired with a lot of the security features around ransomware protection and backup and passwords, that customers have been asking for. And then we add new products, right? So Capture, Dropbox Capture, a new product is available to all paid subscribers. So it's another example of creating value. And then we change prices or change packaging. As our portfolio, we see that a lot of our customers obviously not only need to store and share and sync their files, but have a lot of workflows around them. And as we have a broader portfolio of products that address these workflows like Dropbox Sign, DocSend, a big opportunity is bundling, right? And when you look at other SaaS companies, there's been a lot of success there. And bundling economics are obviously great for customers, and there are also favorable economics for the Company. So I'd say we're early innings in terms of thinking through bundling and we'll be doing more here, especially as customers are also thinking about how they consolidate, how do they -- or how to consolidate their tools, manage spend more effectively. We think having more suites and all-in-one type solutions will resonate in a challenged environment.
Steve Enders: Okay. Got you. That's helpful. I guess on the Plus plan, I know that there's been kind of more focus from you historically just in terms of like trying to drive conversion rates in the app and trying to help kind of improve some of those retention trends. I guess, how do you kind of think about the levers that of improve some of the retention rates on the Plus side or drive further conversion?
Drew Houston: Yes, I can start. I mean, first, we've just seen good returns to just improving the core experiences and streamlining some of the basics. So we found that there by removing friction from our onboarding experiences, by making sharing more seamless, by improving like photo backup speeds, things like that, just the nuts and bolts, we see engagement increase, we see retention improve. So we continue to invest in those kinds of levers. And then I mean there are going to be puts and takes with any individual SKU. We also think about, let me zoom out a little bit from any one of the SKUs and think about how do we direct our customers and match them with the most compelling offering for them. And so I think we've also been driving a mix shift from Plus towards higher value plans like Professional or our Teams plans that have more like network effect driven retention and things like that. So I'd say within any individual SKU there are a number of levers as far as how we monetize the specific offering, churn versus pricing, other things like that. But then we also look at it from a portfolio level and making sure we're making -- and ensure we're making globally optimized decisions.
Operator: Our next question comes from Joey Marincek with JMP Securities. You may proceed.
Joey Marincek: Congrats on the nice results here. Drew, can you talk more about security? What is it that customers -- what our customer needs as it relates to security? And what are some ways Dropbox can help? And then maybe additionally, can you touch on the GitHub phishing incident? What happened and what steps have you taken?
Drew Houston: Sure. Great question. So on the security front, from a customer demand standpoint, the landscape continues to evolve, right? And so as I shared before, ransomware attacks have been up almost 300% in the last year, something like half to 3/4 of the victims are small businesses, so we see new demand. And those small businesses, half of them don't have dedicated IT security resources. So we see a big opportunity for Dropbox to help in a number ransomware protection to more fully featured backup options in a world where people are now working from everywhere, being able to back up all your endpoints is something that where -- revenue needs, managing passwords for a team. And so there's a lot of different areas where we've been launching new security functionality that's been resonating with customers and has been in response to new demands, and that has been a big part. We see that the adoption of those new features and the success of the price increase and packaging changes, the security features we've launched have been instrumental to that. Second, just sort of background, you mentioned the GitHub phishing incident in October. We were the targeted fishing campaign and one of our employees. GitHub accounts was compromised. We resolved the issue quickly. We believe the overall impact is minimal, specifically the kinds of things we look at are -- our apps, core service code, production environments were not accessible. No evidence that customer content or passwords or payment information was compromised. No indication that there will be material business or customer impact. Definitely we like to be transparent about how we handle these kinds of incidents and we've posted -- there's a lot more detail on our blog, but again, we think we've responded quickly and don't believe there will be a material impact.
Joey Marincek: That's very helpful. And then can you also give us an update on Command E. How is it performing relative to expectations? And what's your ultimate vision there?
Drew Houston: Very excited about Command E, and we see a big opportunity in evolving the Dropbox experience. And when I started the Company, it was really about how do I sync my files across different devices, different operating systems. And today, we have -- we all have new challenges where a lot of work has moved into the browser and a lot of cloud tools, but then there's new problems around fragmentation. And the challenges around the basics like not being able to find information, not being able to organize it. So Command E is a great example of addressing some of those challenges. So instead of having 10 different search boxes for 10 different apps, Command E provides universal search. We bought that company about a year ago. We've been investing more there. And we think that there are fundamental needs in the cloud world around organizing your content and evolving Dropbox from syncing files to organizing all your cloud content. That's a big opportunity in any macroeconomic environment. So we'll have more to share on the road map there and new product experiences in the coming quarters.
Operator: Thank you. One moment for questions. Our next question comes from Matt Bullock with Bank of America. You may proceed.
Mark Murphy: I'm on for Mike Funk. Just wanted to triple tap here on the pricing increases. So, we did see a deceleration in net adds of around 100, 000 from this -- the average of the past couple of quarters. I'm trying to frame that decel in terms of pricing impact versus the plus weakness in mobile. Was most of that decel driven by the pricing increases? And if so, can we assume that now that the monthly users have digested that, that we could see a resell in net adds going forward?
Tim Regan: Sure. This is Tim. I'll take that. So we added about 180,000 net new paying users in the third quarter. We did see an expected drop in paying users from our Teams plans in the wake of the pricing and packaging changes that we've been talking about. We also did see some softness around some of our Plus users, particularly on mobile due to the challenging macro environment. As far as breaking that out, I would say that the larger portion of the drop does stem from the pricing change. As far as looking forward, we don't formally guide to paying users. We do expect our Teams pricing and packaging change to have an impact on net new paying users. However, we're encouraged by the early signals we're seeing and are confident that this pricing change is a net positive to ARR in the long run.
Operator: Our next question comes from Jacob Staffel with Goldman Sachs. You may proceed.
Jacob Staffel: It's Jacob here. I to ask around ARPU real quick. It seems like the last, we'll call it, five or six quarters, ARPU has kind of been floating around in that like $133, $134 range. And obviously, a portion of that is due to the Family plan and the six seats that are included in that. But given all the product innovations that have been recently released, how are you thinking about future acceleration of ARPU?
Tim Regan: This is Tim. So we did end the third quarter with ARPU at about $134, which was up about $0.52 year-over-year. And this was driven by benefits from our pricing initiative and a continued mix shift to our premium SKUs. Now offsetting that, there was nearly a $3 headwind from FX. So FX plays apart from a headwind perspective, as does, as you mentioned, the Family plan. And looking forward, we don't formally guide to ARPU. There continue to be some factors that may impact our trends -- pricing that will continue to be a tailwind to ARPU FX. Again, we expect FX headwinds to intensify, exiting the year and into 2023, assuming current rates hold. And then, of course, the Family plan, as you mentioned. And so there are puts and takes here, which is why profitably growing our total ARR base versus optimizing for a specific ARPU is our priority.
Operator: Thank you. That concludes our Q&A session. That concludes the conference. Thank you for participating. You may now disconnect.